Operator: Thank you for standing by, and welcome to the Healthcare Services Group, Inc.'s Fourth Quarter 2025 Earnings Conference Call. The matters discussed on today's conference call include forward-looking statements about the business prospects of Healthcare Services Group Inc. For Healthcare Services Group, Inc.'s most recent forward-looking statement notice, please refer to the press release issued this morning, which can be found on our website, www.hcsg.com. Actual results may differ materially from those expressed or implied as a result of various risks, uncertainties and important factors, including those discussed in the risk factors, MD&A and other sections of the annual report on Form 10-K and Healthcare Services Group, Inc.'s other SEC filings and as indicated in our most recent forward-looking statements notice. Additionally, management will be discussing certain non-GAAP financial measures. A reconciliation of these items to U.S. GAAP can be found in this morning's press release. [Operator Instructions] I'd now like to turn the call over to Ted Wahl, President and CEO. You may begin.
Theodore Wahl: Good morning, everyone, and welcome to HCSG's Fourth Quarter 2025 Earnings Call. With me today are Matt McKee, our Chief Communications Officer; and Vikas Singh, our Chief Financial Officer. Earlier this morning, we released our fourth quarter results and plan on filing our 10-K by the end of the week. Today, in my opening remarks, I'll discuss our 2025 highlights, share our perspective on the general business environment, discuss our strategic priorities for the year ahead and provide details on our new $75 million share repurchase plan. Matt will then provide a more detailed discussion on our Q4 results, and then Vikas will provide an update on our more recent contract enhancements, liquidity position and capital allocation progression. We will then open up the call for Q&A. So with that overview, I'd like to now discuss our 2025 highlights. I am extremely pleased with our fourth quarter performance, which capped a strong year for Healthcare Services Group. Against the backdrop of solid industry fundamentals, we exceeded our initial 2025 expectations for revenue, earnings and cash flow, driven by disciplined execution of our strategic priorities. Year-over-year revenue was up over 7% with our campus division reaching a significant milestone in its growth journey, achieving over $100 million in revenue. We successfully managed cost of services and SG&A within our targeted ranges, and we generated significant free cash flow. We also returned over $60 million of capital through our share repurchase program and ended the year with a strong balance sheet and ROIC profile, underscoring our focus on value-creating capital deployment. I'd like to now share our perspective on the general business environment. Industry fundamentals continue to gain strength, highlighted by the multi-decade demographic tailwind that is now beginning to work its way into the long-term and post-acute care system. In 2026, the first baby boomers will turn 80 years old. And by the year 2030, all 70 million-plus boomers will be over the age of 65, with the oldest being in their mid-80s, the primary age cohort for long-term and post-acute care utilization. We expect that the demand and opportunities for service providers in this space, especially for those with compelling value propositions, durable business models and market-leading positions to only increase in the months and years ahead. The most recent industry operating trends remain positive as well, highlighted by steady occupancy, increasing workforce availability and a stable reimbursement environment. We remain optimistic that the administration will continue to prioritize the rationalization of regulations and policy to better align with the changing and expanding needs of our nation's most vulnerable and the provider communities we service. Looking ahead to 2026, our top 3 strategic priorities remain: driving growth by developing management candidates, converting sales pipeline opportunities and retaining our existing facility business, managing cost through field-based operational execution and prudent spend management at the enterprise level and optimizing cash flow with increased customer payment frequency, enhanced contract terms and disciplined working capital management. We are optimistic about our trajectory and expect mid-single-digit revenue growth in the year ahead. We remain confident that continuing to execute on our strategic priorities, supported by our robust business fundamentals will enable us to drive growth, while delivering sustainable, profitable results. Finally, in conjunction with our earnings release, we announced the completion of our $50 million 12-month share repurchase plan, 5 months ahead of schedule. We also announced plans to further accelerate the pace of our share buybacks in 2026 and intend to repurchase $75 million of our common stock over the next 12 months. Over the past few years, we have continued to strengthen our balance sheet and expect strong cash flow generation over the next 12 months and beyond. We have demonstrated a prudent and balanced approach to capital allocation, including, first and foremost, investing in our growth initiatives. The current valuation of our shares relative to our long-term growth potential presents a compelling opportunity to return meaningful capital to shareholders through the buyback. So with those introductory comments, I'll turn the call over to Matt.
Matthew McKee: Thanks, Ted, and good morning, everyone. Revenue was reported at $466.7 million, a 6.6% increase over the prior year. Segment revenues and margins for Environmental Services were reported at $210.8 million and 12.6%. Segment revenues and margins for Dietary Services were reported at $255.9 million and 7.2%. As far as the cadence of our 2026 growth, while we don't provide full year revenue guidance broken out by quarter, our 2026 growth plans are oriented as follows: Q1 revenue in the $460 million to $465 million range with a step-up in Q2 revenue and then sequential revenue growth in the second half of the year compared to the first half of the year, culminating in mid-single-digit revenue growth for the full year 2026. Cost of services was recorded at $394.6 million or 84.6%. Cost of services benefited from strong service execution, workers' comp and general liability efficiencies and lower bad debt expense. Our 2026 goal is to manage the cost of services in the 86% range. SG&A was reported at $46.2 million, but after adjusting for the $0.4 million increase in deferred compensation, SG&A was $45.8 million or 9.8%. Our 2026 goal is to manage SG&A in the 9.5% to 10.5% range based on investments that we've made and spoken about in previous quarters with the longer-term goal of managing those costs into the 8.5% to 9.5% range. The effective tax rate for the fourth quarter was reported as a 9.4% benefit and the effective tax rate for the year was reported as a 13% expense. The effective tax rates include an $8.3 million or $0.12 per share benefit related to the treatment of certain ERC receipts recognized in the third quarter. The company, in consultation with third-party experts has determined its tax position with respect to these receipts. We expect our 2026 effective tax rate to be approximately 25%. Net income and diluted earnings per share were reported at $31.2 million and $0.44 per share. Net income and diluted earnings per share included an $8.3 million or $0.12 per share benefit related to the tax treatment of certain ERC receipts as previously mentioned. Cash flow from operations was reported at $17.4 million. After adjusting for the $19 million decrease in the payroll accrual, cash flow from operations was $36.4 million. I'd now like to turn the call over to Vikas.
Vikas Singh: Thank you, Matt, and good morning, everyone. Before reviewing our liquidity position and capital allocation priorities, I'll first highlight the favorable evolution of our contracts and the resulting impact on the business. Over the past few years, we have deliberately and systematically upgraded our contracts to improve both pricing mechanics and cash flow. These changes were designed to pass through cost increases with greater certainty and speed, increase payment frequency relative to monthly collections and shift from fixed monthly billings to billings based on the number of service days, the last being a particular area of focus over the past 12 months. As a result, we've seen several meaningful benefits, including improved margin visibility and stronger collection trends, which have contributed to lower days sales outstanding. One implication of the move to service day-based billing is that revenue is now more directly influenced by the number of days in a given quarter. While this has been largely beneficial, it has introduced a Q4 to Q1 dynamic that was not as pronounced historically. For example, Q4 2025 had 92 service days, while Q1 2026 has 90 days. Applied to our Q4 2025 revenue base, that difference would equate to more than $10 million. Our Q1 revenue range reflects performance above what the day count dynamic alone would imply. That's fueled by sustained momentum across the business. This outlook extends our pattern of consistent year-over-year quarterly growth and reinforces our conviction in delivering full year growth in the mid-single digits for 2026. The service day impact is not expected to be a factor in the remaining quarters of the year. Given the number of days per quarter are more evenly distributed, they're also balanced by offsetting events. So overall, while the Q4 to Q1 dynamic is a relatively recent result of contract changes that have been a strategic priority for us, we are very pleased with the overall impact these actions have had on the business and believe they position us well with a more durable and sustainable model going forward. Our primary sources of liquidity are cash flow from operating activities, cash and cash equivalents and our revolving credit facility. We wrapped up 2025 with cash and marketable securities of $203.9 million, and our credit facility of $300 million was undrawn with utilization limited to LCs only. This strong position was driven by top line growth combined with robust collections throughout the year that enabled us to reduce our receivable balance and bring down our DSOs. The increase in our cash position also reflects ERC receipts received during the year. However, we did not receive or recognize any ERC proceeds in the fourth quarter. Moreover, there can be no certainty regarding future receipts. On the capital allocation front, our 2026 priorities remain unchanged. We will continue to prioritize direct investments towards organic growth, strategic acquisitions and opportunistic share repurchases. As Ted referenced earlier, we completed our $50 million share repurchase program in January 2026, well ahead of the original 12-month time line. Those share repurchases included $19.6 million of buybacks during the fourth quarter, which contributed to our $61.6 million of share repurchases in 2025. Additionally, in February 2026, our Board of Directors authorized the repurchase of up to 10 million outstanding shares of common stock. Alongside that authorization, we announced plans to accelerate our share repurchase activity and expect to repurchase $75 million of our common stock over the next 12 months. With that, we will conclude our opening remarks and open up the call for Q&A.
Operator: [Operator Instructions] Your first question today comes from the line of A.J. Rice from UBS.
Unknown Analyst: This is James on for A.J. Maybe if I could just start with how you guys are potentially thinking about the revenue upside opportunity. I know mid-single digits you've been talking about for a while for this year. But just given the strong underlying fundamentals of the nursing home sector plus the cross-sell opportunities and also the growth opportunity in campus, just wanted to get your thoughts there.
Theodore Wahl: Sure, James. Overall, we continued to successfully execute on our organic growth strategy, largely by developing management candidates, converting sales pipeline opportunities and retaining our existing facility business. That's really our growth algorithm. Since we operate in a largely untapped market, where the demand for the services is greater than what we're capable of managing, our growth out is largely execution based. So we do, in many respects, retain control of that growth. Our pipeline is robust and growing. We have a highly structured sales process from prospecting all the way through closing and the demand for the services is as strong as ever. So for us, as we look out over the next 12 to 18 months, James, the growth rate limiting factor is really our ability to successfully hire, develop and retain the next generation of management candidates. More than any other factor, that's going to be the catalyst for us in sustaining the new business momentum we've seen over the past year or 2 as well as related to any potential upside opportunity.
Unknown Analyst: Got it. That's helpful. Maybe just one more, if I could. It looked like margins in both segments had some nice expansion. Maybe just what are your thoughts on where those could end up in 2026?
Matthew McKee: Yes. James, you're right. Certainly, we saw a nice output in margins, and obviously, that was reflected in cost of services as well. And really, that comes down to what we've talked about consistently and previously, which is the primary driver being overall service execution and the recent positive service execution trends in customer experience, systems adherence, regulatory compliance, budget discipline, all of those are near-term margin drivers, and they carried into Q4, and the expectation is that they'll carry forward into 2026 as well. So that's why we're confident in our ability to continue managing cost of services in that 86% range. That said, there's always going to be month-to-month and quarter-to-quarter movement and the timing of certain items certainly had a positive impact on Q4 results in cost of services. And of course, that feeds through into the segment margins as well. You think about workers' comp and general liability efficiencies that continue to be driven by our focus and commitment to training and safety protocol that have been implemented out in the facilities, lower bad debt expense, which we've noted will likely be a bit inconsistent in the near term, but is favorably impacted by the strong cash collection efforts and the scarcity of customer bankruptcies and reorgs during the quarter. But ultimately, you bring it back and it's ultimately far outweighed by that operational execution and some of those other factors. So we've got a firm commitment to 86% as the right cost of service target. And as we mentioned, that will ultimately feed into the segment margins as well.
Operator: Your next question comes from the line of Sean Dodge from BMO Capital Markets.
Sean Dodge: Congratulations on the quarter and on the year. Ted, you mentioned campus Services reaching $100 million of revenue. How is that split between Environmental Services and the Meriwether Godsey side? And just how should we be thinking about -- you've been incubating this, you've gotten comfortable with it. Is there anything left to do there before you can really begin to accelerate and scale it? And I guess what's the time line around when we start to see campus services really become kind of a more meaningful factor in your growth?
Theodore Wahl: It's split pretty evenly, Sean, between our CSG brand and the Meriwether Godsey brand you referenced. So we're pleased with that. It provides a strong platform for future growth. And the organic growth element is going to be critical for us. We continue to see accelerated organic growth in both of those brands. And with the concentration primarily in the Northeast, Southeast through the Mid-Atlantic and the beginning stages of a Midwest expansion, that will be, we anticipate, fueled over the next 12 to 18 months by very strategic, very intentional M&A to be able to land and expand. So to find those brands that we've talked about before that meet our criteria in a specific market, complement the growth strategy that we've laid out and then organically grow those brands with the support and the supplementation from the home office here. So we're very well positioned. That milestone is a critical milestone as we think about it, reinforces our conviction in the model and the niche we've carved out. So we're expecting continued accelerated growth in the year ahead. And then beyond, really the possibilities are very compelling and powerful.
Sean Dodge: Okay. And then on cash from operations, you had a great performance in 2025, even after you strip out the ERC payments. How should we be thinking about cash from ops trajectory for 2026? You said mid-single revenue growth, you gave some margin targets. You've talked before about cash from ops approximating net income. Is that still kind of the message, the expectation for 2026?
Vikas Singh: Yes, Sean, that's spot on. I think our expectation continues to be that net income is the best proxy for cash flow from operations, excluding the change in payroll accrual. And again, I think it goes back to the indication we are suggesting for the year to follow, which is mid-single-digit revenue growth, margins consistent with what we've said in the past, which is 86% cost of sales. 10% SG&A at the midpoint of our short-term target range and an effective tax rate of, give or take, 25%, which is what we've done historically and overall collections matching revenue. And that leads to an outcome, where net income will be the best proxy for what our cash flows will be going forward.
Sean Dodge: Okay. And then just last on the buyback, the plan to purchase or repurchase $75 million of stock over the next 12 months. Maybe just balancing that against the M&A opportunity, buying back that amount of stock, how much does that or how much room does that give you to still do M&A?
Vikas Singh: Yes. So Sean, what we've done over the last few quarters is prime our balance sheet for all our capital allocation priorities. So you would see in 2025, we've gone through the year without drawing on our line of credit. We've built up our cash balance, and now we are sitting at a balance of $200 million plus in terms of securities and cash, which is substantial. We have an undrawn line of credit. And as we think about all the priorities, focusing on organic growth, M&A, share buyback, we feel very comfortable with our liquidity position and feel confident and comfortable that we can go after all the 3 priorities without having to worry about liquidity. I think we've put our balance sheet in a spot where all those priorities can be moved forward without one compromising the other. Now that said, if we ever find ourselves in the happy spot of finding a substantial M&A, the line of credit gives us a lot of cushion. So long way of saying that we don't really see a conflict between the priorities and our liquidity.
Operator: Your next question comes from the line of Ryan Daniels from William Blair.
Matthew Mardula: This is Matthew Mardula on for Ryan Daniels. And I know new business adds were a large part of the growth in 2025. But when thinking about the setup for this year, do you believe or maybe even anticipate an even larger amount of new businesses added throughout the year? And I know the timing of new businesses can vary between even months or quarters. But given the improvement in the industry and the potential of continuing, any color into how you are thinking about new business adds and the drivers of that throughout this year?
Theodore Wahl: Sure, Matthew. We highlighted that in 2026, we're expecting mid-single-digit revenue growth along the lines of the cadence that Matt described in his opening remarks, and you referenced timing, but as always is the case, the timing of new business adds is a factor, and that can be fluid quarter-to-quarter, knowing there's always a subset of opportunities intra-quarter that could be pushed out or pulled forward. You think about the difference between starting a new opportunity on March 1 as opposed to April 1, maybe insignificant on a year-over-year basis, but that could be meaningful to a given quarter. Again, that's why our mid-single-digit guidance is really based off annual growth expectations, whereas our quarter-to-quarter estimates are ranges that are intended to provide that additional near-term visibility. So again, in terms of driving that organic growth, I referenced it earlier, but our growth algorithm is very straightforward. It's execution-based. And with the pipeline that we've built, which is robust and the retention trends that we're seeing in that 90% plus range, the key for us in driving organic growth is going to be executing on that management development strategy, hiring, developing, retaining and then making sure that there's balance throughout the organization. Each of those components I referenced is supported by best-in-class leadership, systems, procedures in each of the divisions as well as the service center providing administrative support here, but the execution is region by region, area by area. And we're more convinced than ever that the decentralized approach puts us in the best position to -- in a very bottoms-up type of way, deliver on that mid-single-digit growth expectation certainly over the next 12 months, but perhaps most importantly, over the next 3 to 5 years as we think about the longer-term outlook.
Matthew Mardula: Got it. And then how have the services you have performed in the skilled nursing facilities compared to the other facilities you have performed at this year? Were just all types of facilities performing better than expectations? Or are there any certain ones performing better than others that need to call out from last year? And then also just kind of looking ahead to 2026, do you expect similar trends to persist or any changes in growth regarding facility types, especially with any color with the skilled nursing facilities?
Matthew McKee: Yes. I would say, Matthew, from the previous comments that I made with respect to the strong performance in cost of services and the impact that, that's had on gross margin, our service execution across really all service segments and customer types, inclusive of facility types remained remarkably consistent throughout the course of 2025. That's absolutely our expectation going forward in 2026 as well. We certainly don't take that for granted. There's a heck of a lot of effort that goes into implementing our systems and most importantly, adhering to our systems at the facility level to not only deliver relative to budget and to deliver the margin and cost of services that we're anticipating. But more importantly, to do so within a framework that allows for a high degree of operational execution, client satisfaction and all of those other really important elements that are critical to our success at the facility level. So really strong performance across all verticals and segments, and the expectation is absolutely that, that continues throughout the course of 2026 and beyond as well.
Operator: And we have reached the end of our question-and-answer session. I will now turn the call back over to Ted Wahl for closing remarks.
Theodore Wahl: Okay. Great. Thank you, Rob. As we enter 2026, our 50th anniversary, the company's underlying fundamentals are more robust than ever. Our leadership and management team, our enhanced value proposition, our business model and the visibility we have into that model, our training and learning platforms, our KPIs and key business trends and our strong balance sheet. And with the industry at the beginning of a multi-decade demographic tailwind, we are incredibly well positioned to capitalize on the abundance of opportunities that lie ahead and deliver meaningful long-term shareholder value. So on behalf of Matt, Vikas and all of us at Healthcare Services Group, Rob, thank you for hosting the call today, and thank you again, everyone, for participating.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.